Operator: Good day, ladies and gentlemen, and welcome to today's webcast. At time all lines have been placed on a listen-only mode and we will take questions following the presentation. [Operator Instructions] At this time, it is my pleasure to turn the floor over to Brian Harvey. Sir, the floor is yours.
Brian Harvey: Thank you, Dagma. Good afternoon, everyone, and welcome to LRAD Corporation's Fiscal Second Quarter 2016 Financial Results Conference Call. I'm Brian Harvey, Director of Investor Relations for LRAD. And on the call with me this afternoon is Cathy McDermott, LRAD's Chief Financial Officer. CEO, Tom Brown will not be joining today's call. Mrs. McDermott will recap our fiscal second quarter financial results, and provide a brief update on our business. Afterwards we will open the call to questions. But before I turn the call over to Kathy, I would like to take this opportunity to remind you that during the course of this call, management will make forward-looking statements. Other than statements as to historical facts, statements made during this call that are forward-looking statements are based on our current expectations. And during this call, we may discuss the company's plans, expectations, outlook or forecasts for future performance. These forward-looking statements are subject to risks and uncertainties and actual results could differ materially from the views expressed today. For more information regarding potential risks and uncertainties, please refer to the risk factors section of the company's Form 10-K for the fiscal year ended September 30, 2015. LRAD Corporation disclaims any intent or obligation to update those forward-looking statements, except as otherwise specifically stated. I will now turn the call over to Kathy. Kathy?
Katherine McDermott: Thanks, Brian, and thanks everyone for joining us. Well, Tom isn't on the call today. I can assure you that he remains focused on generating revenue for second half. The Board has retained a recruiter and is actively conducting a search for new CEO. We are anxious to have a candidate identified and on board as soon as possible. I'll provide a financial overview and then a brief update on our business. LRAD Corporation second fiscal quarter revenues remain slow due to the timing of customer orders and delays in awarding contracts. Our revenues for the quarter were $3.6 million, a 19.7% decrease from $4.5 million reported in the second fiscal quarter of 2015. Year-to-date revenues were $6.4 million, a 27.6% decrease from $8.9 million reported in the prior year-to-date. U.S. business continues to show improvement with 95% increase in year-to-date U.S. revenues compared to last year. During the second quarter we were awarded a $7.4 million multi-year firm fixed price IDIQ contract award with the navy for between 4 and 80 RXL Systems and we invoiced our first shipment. Revenues with the state department were $508,000 in the first half for embassy, vehicle and other applications which exceeds our full-year of revenue from this customer at fiscal year 2015. We also shipped our first order on our modified navy contract to U.S. Army. We are optimistic that we have the resources and contracts in place to continue growth through the year. We shipped an order to Latin American prison for $710,000 this quarter. This is our second prison order in that country and we have had a few additional smaller prison orders as we pursue this protocol. Mass notification revenues were strong during the quarter representing 15% or $544,000 of our revenues. Most of these revenues refer for our partner in Japan for Tsunami warning systems. Our quarters will continue to be uneven due to the timing of approvals or budgets. Gross profit for the quarter ended March 31, 2016 was $1.6 million or 45.3% of net revenue compared to $2.3 million or 51.2% of net revenues for the second quarter of the prior year. Gross profit for the six months ended March 31, 2016 was $2.9 million or 45.6% of net revenues compared to $4.7 million or 52.5% of net revenues for the same period in the prior year. The decrease was primarily due to the decreased volume, product mix, and lower absorption of our fixed overhead costs. Our operating expenses for the second fiscal quarter increased by 41.2% from $2 million in the second fiscal quarter of 2015 to $2.9 million in the second fiscal quarter of 2016. Operating expenses for the six months ended March 31, 2016 increased by 25% or $3.9 million to $4.9 million. The increase was primarily due to $836,000 of one-time expenses related to our response to a proxy contest initiated by one of our stockholders and separation cost related to the June 30, 2016 departure of our CEO. In addition, we had increases for staffing and consultants for business development, marketing and engineering personnel. And for increased marketing expenses primarily for trade shows offset by a reduction in accrued bonus for not meeting the company's target, we do use commission expense and we reduce testing and prototype expenses for product development. The company reported a net loss of $665,000 or $0.02 per share for the second fiscal quarter compared to net income of $291,000 or $0.01 per diluted share for the second fiscal quarter of the prior year. Year-to-date the company reported a net loss of $1 million or $0.03 per share compared to net income of $796,000 or $0.02 per diluted share for the prior year-to-date. The reduction resulted primarily from the lower revenues and one-time operating expenses partially offset by an income tax benefit. On our balance sheet, our cash and cash equivalents as of March 31, 2016 was $15 million compared to $18.3 million at September 30, 2015. The $3.3 million decrease was primarily due to the use of $1.7 million to repurchase shares of common stock, $637,000 for the payment of dividends and the movement of $611,000 from cash equivalents to short-term marketable securities. Working capital was $22.5 million at March 31, compared to $25.6 million at September 30, 2015 due to the decrease in cash and cash equivalents. An increase in liabilities due to the payroll and legal liabilities related to the one-time proxy settlement separation costs and an increase in deferred revenue, primarily, due to prepayment from customers in advance of product shipment offset by a transfer of marketable securities from long-term to short-term. Fiscal year-to-date we repurchase 1.1 million shares of stock at $1.7 million at an average price of $1.59. We paid the Q4 and Q1 dividends in the amount of $637,000 and the board approved a dividend for $0.01 per share for the second quarter for stock holders of record on June 15, 2016 payable on June 30, 2016. As far as an update on the business, I mentioned that we've almost doubled our U.S. revenues year-to-date but we're more excited about having the structure in place for future orders. As I mentioned in late March, we awarded 7.4 million contract award with the navy for between 4 and 80 RXL Systems for situational awareness systems on military command ship and other U.S. Navy and coast guard vessels. And they also made an initial purchase. LRAD RXL Systems will be used for critical security and communications capabilities that will enhance the safety of deployed merchant mariners and sailors. We previously announced that the contract that we have with the U.S. Navy was modified to allow the U.S. Army to use this contract to purchase our LRADs. We shipped an initial order to the army in Q2. $1.5 million was funded in the fiscal year '16 Defense Appropriation Bill. So we expect a larger order within this fiscal year. The current fiscal year '17 Defense Appropriation Bill includes a line item for $9.8 million for both, acoustic hailing devices and a vehicle stopping system which is still subject to approval. Our modified navy contracts expires in 2018 but an archive was issued last month solicit information on acoustic hailing devices for the army. The estimated requirement is 800 to 3,500 eight AHDs with delivery starting as early as fiscal 2018 which begins on October 1, 2017. This will provide for army requirements following the expiration our navy contract. We will respond to this RFI by this week and we would expect an RFP may come out sometime next year. We believe our current contract modification put us in a very good position if an RFP issued. As discussed on previous calls, acoustic hailing devices are approved equipment purchases under the degree of funding for fiscal year '15 and '16. The DCP which is the domestic capability priority of the Air National Guard as a DCP budget book which includes acoustic hailing devices on the domestic capability priority list. There are two items in the DCP book of note; one is a specific line for LRAD's for 18 500X units with helicopter mounts were approximately $500,000; and the second line is an item for loudspeaker systems for $6.8 million. We continue working both of these opportunities. Also as previously discussed and RFI came out for non-lethal escalation of forced capabilities to integration on CROWS for the army. The RFI came on December and we responded in January. We're hopeful that an RFP will be issued in the future. During the quarter we announced a $1.1 million public safety order for 100X systems for Southeast Asia. This order is expected shipping in fiscal Q3. We're working on another large public safety order for the same country they we're hoping to close during this fiscal year and if time allows ship during the fiscal year. We continue to make progress with our mass notification orders, most of our revenues are still coming from Japan within the process of replacing their country-wide tsunami warning systems. We submitted a number of bids in both, the U.S. and internationally, many of which have not been awarded yet. We will be demonstrating our trailer at Eurosatory in June which is our first European demo. This is one of the world's largest defense and security exhibitions that has global attendance. We have exhibited for the past several years but this is the first year we've introduced our massive notification products. Energy security orders that have shipped year-to-date include the Hoover Dam, Fort Worth water treatment facility, Oak grove power plant in Texas, Florida Electric Company, a DOE renewal energy plant in Colorado and we also announced an order from the Saudi Electricity Company which is scheduled to ship this year fiscal year. This remains a strong growth opportunity for us for both mass notification and LRAD products. While our year-to-date results have been disappointing, based on our backlog and additional orders we expect to close this year, we expect our second half of the year to be strong. With that I'll turn it Brian.
Brian Harvey: Thank you, Kathy. Dagma, we now like to open the conference call to questions. And we encourage callers with questions to queue up with the operator as soon as possible so that there is minimal lag time between each caller. Dagma, please instruct the callers how to cue up their questions.
Operator: Thank you. The floor is now open for questions. [Operator Instructions] Our first question comes from Josh Nichols [ph]. Please state your question.
Unidentified Analyst: I was wondering could you tell me a little bit what you're seeing in the market for mass notification, are there any large RPs may be coming down the pipe? And also what are some of the challenges to really growing that business and getting it often running to be a very significant part of revenue going forward?
Katherine McDermott: Hi, Josh. I guess. So there are a lot of RFPs, there is a lot of biz that we have out there currently. Some of the challenges that we don't share so much of the information on who and when because we do have competitors that call us as well [ph]. But I will say, some of the challenges that we have is price depending on what market and what application it is. So we have been working with our products in different configurations to try and compete on a price basis, and be successful in that market. And the other piece I think is truly just -- as we continue to bid these, there is a lot of known names out in the market, we're the new guy in town and we don't get as much of a reputation as of yet. We need a couple of good wins and we're still hoping for big wins to really just earn that mark and earned reputation in the market, and then we think we can be a lot more successful going forward.
Unidentified Analyst: And then who are -- what's the company or two that you usually wind up against some of the larger RFPs for mass notification? It is predominantly one or two names of is it spread out over a few?
Katherine McDermott: There is a few but ATI, Welan, Federal Signal…
Brian Harvey: Federal Signal, Siemens, internationally, and there is a host of Chinese and Japanese competitors that we meet in those markets as well. But as Kathy indicated, we started seeing some success. She went through and linked me with some of the energy security companies that we've received orders from recently and we're continuing to attack that vertical but we've also had a lot of bidding opportunities from international markets. So we see growth both, domestically and internationally for mass notification.
Unidentified Analyst: And then last question for me, kind of broadly, as far as -- what kind of size are you seeing for a lot of these biz you're getting into our mass notification, I'd imagine that they could be quite different than the long range used acoustic hailing devices? I'm guessing many of these are in the -- upto $10 million, $5 million, somewhere around there.
Katherine McDermott: Sure. So for mass notification it's everything from a couple of 60 horns or maybe three pulls up in a little and a smaller area to $9 million or $10 million contracts. So they do vary mechanically, it depends on the application -- we have one small ones we don't -- but there is -- you know it's the bigger ones that we're hoping to really get our feet on the ground and prove ourselves on.
Unidentified Analyst: Thank you.
Katherine McDermott: Thank you.
Brian Harvey: Thanks, Josh.
Operator: Okay, our next question comes from Stephen Wagner. Please state your question.
Stephen Wagner: Hi guys, good afternoon, everybody. Okay, so I've got two questions. Question number one is, as you mentioned Japan is your biggest international customer, I think that's what I heard, that quote there -- they're going through the process of switching out and transforming their tsunami warning systems. What's the approximate revenue number that we've gotten orders from them so far from Japan?
Katherine McDermott: I don't know the number right at the top of my head but several million over the years. I mean we've been -- we've started the projects a few year ago and it's been small cities, larger cities kind of small bids overtime.
Stephen Wagner: Okay. What would you project with the size the ultimate size of that market that you feel you'll be able to address over the next a couple of years?
Katherine McDermott: That's hard to say, and I don't really have a good feel for how far we are. And cities, again we've done small cities, larger cities, we're not sure how many cities we'll be interested.
Stephen Wagner: Well, it just seems to me like talking with Tom in the past, and you Brian, and others; Japan is one of the few countries in the world that doesn't pay such a high emphasis on price as other places do, and obviously they appreciate the quality which they offer -- there is nobody better than LRAD in that particular area. So I just -- naturally curious as to what the potentiality is for larger orders down the road since this such a mission critical situation for Japan, tsunami warning is massive there.
Brian Harvey: That's correct and that's why we're encouraged by the fact that they continuously come back to us as they're upgrading. Now it rolls out on a city by city slash, town by town basis. So there's not a full national program in place. So that's why it rolls out as it does but as Kathy indicated. I believe it was about $0.5 million dollars in the last quarter. And so we needed something -- it's business is very good for us and we were hoping you could see this.
Stephen Wagner: Okay. On the charge of $800 and some thousand dollars, and you break it down. If you attribute it to two areas the shareholder, scenario lawsuit and then Tom's package. Can you break that down for us?
Katherine McDermott: Yes, there is -- the contractor dropped there, you can see those as well but there is prior couple of hundred thousand of it attorney's fees, legal fees related to the property and then $600,000 and so for Tom package.
Stephen Wagner: Okay, yes. I recognize they are out there but the easiest thing to do Kathy is just ask you, and that's I did. I mean. I don't know to be reminded that it's out there, really it's just a simple question and I appreciate your answer. I'm extremely busy and don't have time to wait through this stuff, that the reason why I'm taking the time out of my schedule to call you folks. So I do appreciate.
Katherine McDermott: My point was I'm not providing any information that's now public is my point. I was withholding information.
Stephen Wagner: I don't think -- yes, I would never ask you to do that and it fairly obvious question and a why it wasn't broken out in the press release as anybody's guess, but that's the reason why I asked it. So I appreciate your answer. And thank you guys. Have a great afternoon.
Brian Harvey: Thank you, Steve.
Operator: Okay, that was the last question.
Brian Harvey: Okay, thank you. And thank you everyone for listening and participating in LRAD Corporation fiscal second quarter 2016 conference call. A replay will be available in approximately four hours through the same link issued on our April 26 press release. Thank you.
Operator: Thank you. This concludes today's webcast. We thank you for your participation. You may disconnect your lines at this time, and have a great day.